Operator: Good day and welcome to the NorthWestern Corporation Third Quarter 2016 Financial Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Travis Meyer, Director of Investor Relations. Please go ahead.
Travis Meyer: Thank you, Liz. Good afternoon, and thanks for joining NorthWestern Corporation's financial results conference call and webcast for the quarter ended September 30, 2016. NorthWestern's results have been released and the release is available on our website at northwesternenergy.com. We also released our 10-Q, pre-market this morning. On the call today with us are Bob Rowe, our President and Chief Executive Officer; Brian Bird, Vice President and Chief Financial Officer, as well as several other members of our Management Team with us today to address your questions. Before I turn the call over for us to begin, please note that the company's press release, this presentation, comments by presenters, and responses to your questions may contain forward-looking statements. As such, I will remind you of our Safe Harbor language. During the course of this presentation, there will be forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements often address our expected future business and financial performance and will contain words such as expects, anticipates, intends, plans, believes, seeks or will. The information in this presentation is based upon our current expectations of the date hereof, unless otherwise noted. Our actual future business and financial performance may differ materially and adversely from our expectations expressed in any forward-looking statements. We undertake no obligation to revise or publicly update our forward-looking statements or this presentation for any reason. Although, our expectations and beliefs are based on reasonable assumptions, actual results may differ materially. The factors that may affect our results are listed in certain of our press releases and disclosed in the company's Form 10-K and 10-Q, along with other public filings with the SEC. Following our presentation today, those who are joining us by teleconference will be able to ask questions. The archived replay of today's webcast will be available, beginning at 6:00 PM Eastern Time today, and can be found on our website, again, at northwesternenergy.com, under the Our Company, Investor Relations, Presentations and Webcasts link. To access the audio replay of the call, please dial 888-203-1112, and access code 1371505. I'll now turn it over to our President and CEO, Bob Rowe.
Robert C. Rowe: Good afternoon, everyone. And thank you for joining us, and we are posting this call today from the board room in our building Montana service center. Our Board met today and yesterday and that is always the case when we meet in the service territory. I had a great community reception last night and then an employee breakfast out on the service bay this morning. And last night our Board got really great exposure to the exciting and solid growth in this area and we heard how much local, civic, and economic leaders really do appreciate the partnership that they have with Northwestern and we with them. Billings is where the Rocky Mountains meet the Great Plains and what Charles called the most beautiful drive in the lower 48 is just an hour away from here. The Chamber of Commerce thanks me for sharing that information with you so we hope you come out and visit. Turning to recent significant activities, net income for the quarter was 44.6 million or $0.92 per diluted share and that is as compared with net income of 23.8 million or $0.51 per diluted share for the same period last year. This is at 20.8 million increase in net income and is primarily due to the 15.5 million tax benefit as part of a tax accounting change related to cost to repair electric generation property that’s along with improved gross margin which is driven again by the South Dakota electric rate increase. Non-GAAP adjusted earnings per share increased $0.17 to $0.68 as compared with $0.51 for the same period in 2015. And the Board approved a quarterly dividend of $0.50 per share payable on December 30th, of this year. On September 30th, we filed the Montana Natural Gas rate case requesting an annual increase in base rates of approximately 10.9 million. We’ll come back and discuss that in more detail. Another highlight for the quarter is our continued success producing interest costs. In August we redeemed 170 million in pollution control revenue bonds with the 144.7 million issuance of PCRBs plus other available funds, and a coupon was reduced from 4.65% to 2%. And then in September we issued $45 million of South Dakota first mortgage bonds with a 2.66% coupon and with that I will turn over to Brian Bird to give the financial results. Brian?
Brian B. Bird: Thanks Bob. As Bob pointed out on page 5 the summary of financial results for the third quarter. We had a very good quarter and net income was up to $20.8 million and our diluted per share up $0.41 was an 80% improvement on a year-over-year basis for the quarter. Starting at the top of the P&L we did see an improvement in gross margin up 5.7 million primarily driven by our rate increase in South Dakota. We did see our overall operating expenses down 1.9 million with improvements in our operating, general, and administrative cost offsetting the increases in property and taxes and depreciation. The net benefit of those drove operating income to a 7.6 million improvement. And ultimately drove the 20.8 million improvement in net income and one of the primary drivers that helped in that regard was a 16.1 million improvement in income tax benefit. Of that 15.5 million was associated with an accounting change association with generation of repairs and we’ll talk more about that in a moment. Regarding gross margin on page 6, as I mentioned gross margin is up 5.7 million primarily driven by improvements in our electric business. And that as I mentioned earlier was primarily associated with the 9.2 million improvements in South Dakota electric rate increase and if you remember we are also able to include the Beethoven project with that rate increase. On the electric side we did continue to see as a result of elimination of loss revenue adjustment mechanism an impact on a year-over-year basis to our gross margin. Also electric retail volumes in our electric transmission think oasis revenues were also down a bit for the quarter. On the gas side we did see an improvement in natural gas retail volumes being up 1.4 million slightly offset by some reduced margin on our natural gas production business. Those changes netted to 7.5 million improvement in gross margin that ultimately impacts our net income. We do have some other items that impact gross margin but do not impact net income because they are offset elsewhere within the P&L. For instance we have less hydro revenues this year associated with the Kerr conveyance as you will point out we also have lower Kerr expense. In property taxes you are aware that we have a recovery of property taxes, portion 60% of that in our property tax trackers. So they show 4.7 million increase in gross margin associated with that but again offset down in expenses. And then lastly of the major items there, production tax credits we had about 2.1 million reduction in property. The production tax credits for the quarter that is offset in our income tax expense line. So net-net the increase in consolidated gross margin of 5.7 million for the quarter. Turn to page 7, we talk about whether typically the third quarter for us is a cooling quarter and typically that would be summer for most places but in our third quarter in Montana we are bit colder, colder versus 2015 and colder on a historic basis. And so that impacted both cooling degree days and heating degree days. Matter of fact, we did get some heating load that helped our gas business. But that was more than offset by the impact of the colder weather on our electric business and net-net we saw about 1.4 million detriment to our margins associated with the weather. Moving forward on operating expenses, I mentioned the reduction in the OG&A expenses of 11 million, more than offset the increases in property tax and appreciation. And depletion expenses were the primary drivers of that reduction in operating expenses though. We are for instance the Kerr conveyance reduced hydro operations expenses and I think you are aware that a reduction in non-employ directors deferred compensation is also offset in other income on our P&L. The other remaining items that will make up the 11 million, we are pleased to say there has been good cost control at the company. We talked about a reduction in our DSIP expenses as we near the completion of that program in the upcoming years. That is starting to taper off, but overall cost control you can see in the other categories, in the other large item here that really shows cost control throughout the company helping to keep our cost down. The other two items, the property taxes were up 5 million for the quarter primarily from higher estimated property valuations in Montana. And also a 4 million increase in depreciation depletion, a large part of that was associated with the Beethoven project on a year-over-year basis. Turning to Page 9, at the top of the page operating income up 7.6 million. We did see a decrease in interest expense. Bob mentioned the refinancing that certainly helped in the quarter and that was partially offset by lower AFUDC. We did see a decrease in other income, again primarily driven by the non-employer directors deferred compensation program and lower capitalization of AFUDC. And finally a 16.1 million improvement in income tax expense due primarily to a tax accounting method change related to cost to repair generation property. And one thing I would point out, that change is approximately 15.5 million associated with debt, change we recorded in the quarter and of that 15.5 million, 12.5 million is associated with prior year periods and 3 million is for the full three quarters in 2016, again for a total of 15.5 million. Moving on to the balance sheet on page 10, not a lot to talk about their other than some seasonal differences between the end of September and the end of December. But the one thing that is good to see is ratio debt to capital at the bottom of the page, back inside are 50% to 55% debt to capital spike where we would like to see that to remain on a going forward basis. Moving to the cash flow statement on Page 11, nine months ending cash flow from operations was $46 million less than the prior nine month period of 2015. Primary drivers for that as we talked about in the past is nearly 31 million of refunds on the DGGS FERC ruling that we received and also giving back about 7 million in revenues through our customers in the South Dakota rate case based upon our original filing and what was ultimately determined there. On the investing activities you can see PP&E additions in 2016 were nearly 150 million less than the prior year and the reason for that is it was in September of 2015 that we acquired the Beethoven project last year and was approximately the difference between those two amounts. So other than that our PP&E additions are about the same. Moving forward page 12 is the income tax reconciliation for the third quarter. As you see at the bottom of that page the 16.1 million improvement associated with income taxes on a year-over-year basis is almost equivalent to the line up there associated with the flow through repairs deductions, the 16.2 million improvement and effectively what that is the 15.5 million I talked about associated with the new generation repairs and an additional amount associated with P&D repairs for the quarter. Moving forward to page 13, our adjusted earnings. What we tried to do here is take our GAAP earnings and then with the adjustments that we have for the quarter come up with a non-GAAP number and try to match that on a year-over-year basis. By the way in 2015 we did not have any changes for the quarter in 2015 that impacted non-GAAP that was the same as the GAAP number for 2015. But in 2016 we did have two items for the quarter that we did back out if you will from our GAAP numbers good to non-GAAP. First and foremost there is a 1.4 million of unfavorable weather I mentioned earlier and also we did back out the 12.5 million of prior year benefit associated with their accounting method changes in generation repairs. After doing that we come up with a non-GAAP diluted EPS of $0.68 for the quarter compared to $0.51 from the prior year quarter still a $0.17 improvement or 33% on a year-over-year basis. As we did from a disclosure standpoint we not only show you that at a EPS or net income we showed at a certainly throughout the whole P&L and obvious any of your basis good to see gross margin improving nearly 6% operating income improving nearly 12% and then also on the pretax side an improvement about 20% you will see here on the income tax line that the increase on a year-over-year basis is about 3 million for the quarter 3.1 and that is almost equivalent to the 3 million of current year benefit associated with the generation repairs. After that adjustment a 9.2 million improvement quarter-over-quarter or nearly 39%. Moving on to page 14 this is our year-to-date results through the third quarter of 2016 you see a 9.6 million improvement for the nine months versus the prior year I think at a very high level. I tell you that’s primarily driven by the South Dakota rate increase offset by the reduction in the Kerr revenues that we certainly did not see in 2016. On the expense side total operating expenses were up 21.3 million almost all driven by the increase in property taxes and depreciation depletion. You will note a still a small decrease in the operating, general, and administrative expenses as particularly impressive if you remember back in 2015 we had a $21 million insurance recovery. I would argue that this year we’ve had obviously we don’t have the Kerr operations that’s about 15 million of expenses we didn’t incur in 2016, we should point that out. And I would say that the remaining difference between those two numbers is the reduction DSIP expenses I mentioned earlier and other cost controls. Net, net then for the operating income down 11.6 million on a year-to-date basis through September. Income before tax is down 16.8 million. Here is where the income tax benefit comes into play again. Obviously I talked about the flow through benefits associated with generation repairs. We also did have a lower pretax and we have the benefit of higher PTCs to the nine months of this year associated with Beethoven project. After that it is considered our net income for the first nine months is up 12 million or nearly l1.2% on a year-to-date basis. Moving on to page 15, we want to remind folks that we did experience in the first two quarters some significant impact associated with weather. You can see that our heating degree days those are certainly two quarters, first and second quarter were heating degree. Heating degree days mattered to us and on a historic average basis we were 10% to 13% warmer than historic averages and from our perspective for the first nine months of the year. We now had a total of 14.2 million impact on our margins associated with the milder weather in 2016. On page 16 as our non-GAAP adjusted earnings for the year-to-date basis, from a 2015 perspective we did have going from GAAP to non-GAAP we did have unfavorable weather in 2015. We did have a QF adjustment that we removed and we did remove the insurance settlement. After those adjustments we show a diluted EPS of $2.17 versus the adjustments we had on 2016 thus far of unfavorable weather. We did have the tracker data allowance, we talked about in prior periods and prior quarters. We also removed the LRAM revenue that we recognized in prior period that we released in the prior quarter and then also this quarter we removed the generation repairs. After doing all of that our $2.44 EPS was reduced to $2.34 versus the $2.17 I mentioned earlier 0.8% improvement on a year-to-date basis. Again, when you look through the P&L even when you consider from a larger perspective still a 3% improvement, operating income at 3% improvement. It is not until we get down into net income and again this is where the generation repairs and the other benefits are attacked by the tax side. We do see a $10.8 million net income improvement which is about 10% improvement on a year-over-year basis year-to-date. Going to page 17, another common terms of non-GAAP adjusted EPS here, this is really the same information I showed you in the previous slides summarized at the EPS level. That also indicates that from the fourth quarter perspective in order to achieve the $3.20 to $3.35 our guidance for the remainder of this year we need to arrange about $0.86 to a $1 [indiscernible] versus the $0.98 we saw in the fourth quarter of 2015. I do want to point out as we talked about the upcoming fourth quarter. We continue to have concerns regarding margins. If you remember the LRAM is no longer with us and other things that can impact our margins. We are also forecasting some higher costs in the fourth quarter including increased pension expense on a year-over-year basis in 2016. So we feel good about where our guidance is and feel comfortable. We will certainly be within the $3.20 to $3.35 and with that I certainly summarize that on Page 18. One thing I would also point out in this page, the only thing we have really changed on that as we did update GAAP range of income tax expense, we do think that will be a range between minus 3% to a positive 1%. But certainly not the non-GAAP that we had recently provided of 6% to 10% income tax rate. And with that I will pass it back over to Bob.
Robert C. Rowe: Thank you, Brian. I will start with a quick regulatory update and this is in attempt to give you a status of key regulatory activity just on one page. First as you all recall and hid below 2014 we received what we consider to be negative cost allocation order on the federal side from FERC concerning the generating station in terms of allocation between retail and wholesale. We have filed a request for rehearing which just this year was denied. We need refunds in June of this year and then at the same time we filed a petition for review at the U.S. Circuit Court of Appeals for the District of Columbia. A briefing schedule has not been established yet, has been established with final brief studied by the end of the first quarter of 2017. And we just don’t expect a decision until the second half of 2017 at the earliest and that would be in Italics. Concerning the lost revenue adjustment mechanism that Brian mentioned, we did receive an order in October of 2015 eliminating the lost revenue adjustment mechanism not as a number of impacts but on a going forward basis rate filings will be set to recover test your cost and the return and we’re evaluating what other revenue based regulatory mechanism such as decoupling should be pursued. And very significantly the Montana Public Service Commission has set a workshop to address the subject of decoupling for a week from tomorrow and we consider that very positive and are looking forward to attending and participating. On the natural gas side in October of 2015 we received a natural gas tracker order revising interim rates for our two or three major gas production asset acquisitions and then requiring a filing prior to this October to formally put them in the rate base and also as you know on an annual basis we do write a first look at each of the jurisdictions to decide whether or not a general rate case should be filed. So pursuant to the commission’s order in the gas tracker case and consistent with the first look we have filed a Montana natural gas rate case based on the 2015 test year requesting about $10.9 million in increased revenue, 7.33% return on 432.1 million of rate base. I will come back and say a little bit more about that. Concerning coal strip, in May the Montana Commission issued in order disallowing recovery of replacement power and portfolio of modeling costs which have been included in the electric supply tracker and the replacement power cost related for 2013 outage at coal strip unit 4. And we filed two appeals concerning that commission decision, the first one was filed in Lewis and Clark County in June and I won't concern the procedure that the Montana commission used to reach its decision disallowing modeling costs. And then in September we filed an appeal in Yellowstone County concerning the denial of recovery for replacement power cost. But also addressing the modeling costs and a little obviously we can’t guarantee and if it is reasonable to expect to receive orders from both parts within somewhere between 9 and 20 months. Finally we did submit a hydro compliance filing in December of 2015 and that filing was associated with what you can think of is a bridge ownership of the Kerr Dawn which came to us as part of the hydro acquisition but with the understanding that it would be conveyed pursuant to a FERC license requirement to the Confederated tribes at the end of that year. So it is a result of a lot of moving pieces associated with Kerr plus tax implications that commission did require a compliance filing which we made again last December. In January of this year the commission had approved an interim adjustment but then opened a separate contest to docket requesting additional detail. Hearing was held just in September and at the hearing the only contested issue was the level of administrative and general expenses that should be deducted due to the transfer of Kerr to the confederated tribes. The briefing is underway right now, it will conclude in early November and then the case will be considered submitted to the commission and we would hope to get an order during the fourth quarter of this year. And then finally I will just give you little bit more detail on the Montana natural gas general rate filing. As you turn to page 20 and look at the table in the upper left corner, keeping the focus on the substantial investment we’ve made in transmission and distribution and storage system from the 2011 tester to 2015 and that’s essentially $51 million of investment in providing our customers safe and reliable and adequate service and then the bar to the right also brings in again pursuant to the commissions tracker order the gas production assets. The upper right is kind of the tail of tape what is included in the case. That is a basic cost of service of 7.4 billion and then cost associated with Bear Paw and South Bear Paw also known as [indiscernible]. These are essentially cost that are being recovered through trackers that would be then formally brought into rate base and also important to note that what is really going on here is the signing of A&G costs to these assets that would otherwise be recovered in the general rate base. Something that is impressive in the cost of capital slide to my mind requesting an ROE of 10.35% and a footnote there is as more and more jurisdictions have successfully adopted the coupling that's essentially the norm now and the absence of decoupling is certainly a factor in the cost of equity that we are using. But what is particularly impressive, if you look at the overall rate of return 7.33%, essentially lower than the rate of return that the commission approved in our most recent natural gas general rate case which was only in June of 2013 and that was a 7.48% overall return. And as is reflected at the bottom of the page, I think they have done a very, very good job of providing first grade stability but over time natural gas grows significantly and consistently below the national average and trending down. So, even if our request were granted in full as you see in the lower rate quarter of the church with typical Montana natural gas build would actually be even lower than it was really only a year or so ago. So we didn’t do a good job of providing our customers safe and reliable service at affordable prices and we think that we put forward a very reasonable proposal to the commission. One more thing I should say is that the case has been bifurcated and this is a revenue requirement filing and then by April we will be expected to make -- allocate a cost of service in rate design case but potentially criticize on the other issues as well. And with that I will be silent and turn it over for questions. 
Operator: [Operator Instructions]. We will go first to Brian Russo, with Ladenburg Thalmann. 
Brian Russo: Hi, good afternoon. 
Robert C. Rowe: Hi, Brian.
Brian Russo: I may have missed this but it doesn’t seem like there was a CAPEX slide in the presentation?
Brian B. Bird: Well, yeah Brian we got some feedback sometimes that we don’t allow enough time for questions and we have a lot of remarks to make and we are going to see you in two weeks at EEI, so we figured we could leave those two slides or several slides out, that is the only reason to not include it. Plus we wanted Bob to have an adequate time to talk about the rate case filing which was the most important thing during the quarter. 
Robert C. Rowe: But Brian the key is for the EEI meeting. 
Brian Russo: I got you. So, as of now we should just rely on your latest CAPEX disclosure?
Brian B. Bird: We don’t expect those slides to change. 
Brian Russo: Okay, great. And then is the SG&A cost cuts, are those prominent or just temporary?
Brian B. Bird: Yeah I think -- I would say this we are going to always experience increasing cost pressures at the company. But we also have to also try and find ways to be more efficient and effective in our costs. So I don’t expect that our costs are going to keep coming down from a cost control perspective. We are going to try and maintain our cost structures as best as we can and on a percentage of margin if you will try and improve that. But I think there is going to be continued focus on cost control but I will not expect to see cost to keep coming down, I expect us to try and maintain it. We owe that to our customers to try and keep our cost as well as we possibly can. 
Brian Russo: Okay and then lastly just to clarify, on one slide it shows the repairs tax deduction benefit of 90 million and then you guys have mentioned 15.5 million adjustment to GAAP earnings and then on slide 13 it shows 12.5 million, I am just wondering if you can reconcile that?
Brian B. Bird: Brian in addition to on the flow through repairs deductions remember this generation repairs is kind of Phase II. We have been doing repairs deductions associated with our T&D business as well. Now inclusive in that number which has historically just been T&D is going to be generation's repairs as well. So the incremental amount about the 15.5 million I talked about is the T&D component.
Brian Russo: Okay, so that’s included in your adjusted EPS?
Brian B. Bird: In the adjustment that we took out the 12.5 million, that’s the prior year component associated with just the generation repairs. 
Brian Russo: Okay, so included in adjusted EPS is 3 million of deductions? 
Brian B. Bird: Absolutely that’s the current year component of the generation repairs and everything else that would be included in our adjusted would be all of the existing T&D repairs expense we’ve had and then we’ll have it on an ongoing basis. 
Brian Russo: Just repeat that, what’s ongoing?
Robert C. Rowe: Like on an ongoing basis we are going to see both T&D and generation repairs. What we just excluded for guidance is things from year 2015 and prior that we are able to capture in this particular quarter. We’re excluding any prior year adjustments much like we’ve done in any other adjustments we’ve done from a GAAP to non-GAAP basis. 
Brian Russo: Okay, thanks for the clarification. 
Operator: [Operator Instructions]. We’ll go next to Paul Ridzon with KeyBanc.
Paul Ridzon: Just on the generation repairs Bob, is that benefit, can we just assume that’s about million a quarter?
Robert C. Rowe: Yes, I am glad you asked that Paul because the 3 million that you have seen this year we do see that as about a million per quarter. Okay, but the amount of repairs that you have in any particular year could be different from one year to the next. So I don’t want to get you situated as always going to be a million per quarter but our expectations from a repairs perspective and how things are laid out, we don’t expect them to be materially different on a year-over-year basis. 
Paul Ridzon: Thank you, that’s all my questions. 
Operator: We’ll go next to Jonathan Reeder [ph] with Wells Fargo. 
Unidentified Analyst : Hey, just a follow up on the repairs for the guidance that you issued this year did you contemplate that generation I guess an incremental benefit?
Robert C. Rowe: It’s a great question Jonathan. Initially in the beginning of the year we did not but you may recall after the first quarter when we revised our income tax range downward we had an idea about generation repairs on early stages but I will tell you that where we ended up at the time that we completed our review we came in with a little bit higher generation repairs then we expect. 
Unidentified Analyst : Okay so when you initially set the range it wasn’t thought when you adjust it in Q1 you kind of knew it was coming down the pipe and it have been little higher than you were thinking?
Robert C. Rowe: You might recall we also as an overall basis reduced the top end of our range at the first quarter. So that was one pleasant thing that we saw for the remainder of the year certainly more than offset by some negative things that we saw for the remainder of the year. 
Unidentified Analyst : Right, okay. Well, thank you and I look forward to seeing all of you at EEI.
Robert C. Rowe: Thanks Jonathan. 
Operator: We’ll go next to Jingren Zhou with Avon Capital Advisors. I think he might have disconnected. We’ll go next to Michael Weinstein [ph] with Credit Suisse. 
Unidentified Analyst : Hi guys. Just to follow up on Brian’s questions for the cost cutting, he was trying to say how much of the 11 million of G&A has been cut is ongoing rather than just one time for 2016?
Brian B. Bird: And just want to be clear maybe that didn’t come across very well, that 11 million decrease in OG&A about 7 million of that is really associated with the fact we don’t have hydro operations cost on a going forward basis. And that’s 4 million, 3 million of it is associated with the non-employee directors deferred comp has offset another income. So you’d argue then what remains is about 4 million right to get to your 11 million. And I think it’s a fair question we’d like to think that we’ll be able to maintain a cost control but I’d expect that some of that certainly will remain but I think we’ll see continued cost pressure in the fourth quarter as well so I don’t necessarily want to say that as a sustainable 4 million each and every quarter.
Unidentified Analyst : Right and of the repairs deductions is there any going impact to rate base growth going forward as a result of taking higher deductions?
Brian B. Bird: No that’s one thing that from our repairs deduction standpoint we have -- it does not impact rate base like it does in other jurisdictions. 
Unidentified Analyst : And are you saying that, what can you say about the expected tax rate in 2017 and beyond?
Brian B. Bird: I’m glad that you ask that question because I think there is probably two questions there that some other folks that might have asked. As a result of generation repairs what’s going to happen to your effective tax rate and what’s going to happen to the NOL usage, and so if I could Michael I’ll answer both of those to your question. An effective tax rate we do think it helps a little bit but we still also see that we’re going to be around that 20% by 2020. We still see a tax rate creeping up and remember think of it this way if you have a constant level of generation repairs on a dollars perspective but your earnings continue to go up on a pre-tax basis your overall effective tax rate is going to start creeping up. And we expect based upon our forecasting that we’d see tax rates creep towards 20% by 2020. So no change from that regard even though we’d argue that it could have some of the positive benefit but not material enough to change our thoughts there. Regarding NOLs I would say the same thing, our expectation is that even though this helps a little bit we do expect to run through NOLs probably by 2020.
Unidentified Analyst : Got you and just one last question did I hear you right that you’re contemplating Montana electric rate case April next year is that…?
Brian B. Bird: Yes, wow, great question by the way. What I said was the gas case is bifurcated by the revenue requirement case this Fall then we will be filing a natural gas allocated cost of service and rate design by April. 
Unidentified Analyst : The rate design for gas case, okay, got you. Do you have any comments on timing of electric rate case at this point?
Brian B. Bird: No. Michael if you recall just real quickly there every April we give our thoughts on our next rate filing that would be the earliest we would talk about it.
Unidentified Analyst : Okay, got you, alright. Thank you.
Robert C. Rowe: Thank You.
Operator: We’ll go next to Chris Ellinghaus with Williams Capital.
Christopher Ellinghaus: Hey guys, how are you? This benefit for the deferred comp, the non-employee comp is that just a timing issue, where did that come from?
Brian B. Bird: No its an accounting issue that any increase or decrease in your stock price has an impact in terms of your carrying cost associated with those assets. So any increase you’d have in your operating expenses you’d have a decrease in other income and vice versa. So it is from a P&L perspective no impact whatsoever.
Christopher Ellinghaus: Got you. Bob as far as the gas case goes have you gotten any feedback thus far from either Montana or their commissioners or politician? 
Robert C. Rowe: We’d had some initial discovery which has been just very straightforward without looking at the data underlying the case and there has been really almost no public discussion about the case that we are obviously communicating what we’re doing and why. But there really has not been much conversation about it. I would like to think that in part that’s simply a result of the fact that gas bills have been trending down so consistently for the last 10 years and we’ve done a very good job managing those cost for customers. 
Christopher Ellinghaus: Okay, I assume that you guys did a review of recent ROE results from cases in Montana, can you just share with us what some of the most recent ROEs approved might be?
Brian B. Bird: I think we will speak from our perspective the most recent ROE from our perspectives hydro case was 9.8% ROE.
Christopher Ellinghaus: Okay, were you trying to insinuate Brian that weren’t going to change CAPEX?
Brian B. Bird: Well, Bob was just referring to don't worry about it until EEI. No, what I wanted to be very, very clear on that is just because we didn’t include the slides this time that they are going to change, they are not going to change. We just -- we didn’t really have anything incrementally to tell you on this call associated with that and so that is why they want to include it. And now that I have known there has been this many questions I would have Travis keep them in. 
Christopher Ellinghaus: Okay, great. Thanks a bunch. 
Brian B. Bird: Thank you Chris.
Operator: [Operator Instructions]. We will go next to Paul Ridzon with KeyBanc. 
Paul Ridzon: Just a follow-up, we should expect to see some tradition of giving guidance yet?
Brian B. Bird: Paul it has been a tradition everyone loves every year now and yes, we will give you the we call them the drivers, we will give you the drivers at EEI. 
Paul Ridzon: Thank you. 
Robert C. Rowe: That is self explained [ph]. 
Operator: There are no other questions at this time. 
Robert C. Rowe: Okay, well thank you all again for your interest here into the quarter which we are pleased with where we are right now. It sounds like we will be seeing many of you in just a couple of weeks. Take care. 
Brian B. Bird: Thanks.